Operator: Good afternoon, and welcome to the Third Quarter 2015 Hewlett-Packard Earnings Conference Call. My name is Amy, and I'll be your conference moderator for today's call. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call, Mr. Kirt Karros, Treasurer and Investor Relations Leader. Please proceed.
Kirt Karros: Good afternoon. Welcome to our fiscal 2015 third quarter earnings conference call with Meg Whitman, HP's Chairman, President and Chief Executive Officer; and Cathie Lesjak, HP's Executive Vice President and Chief Financial Officer. Also joining today's call are Dion Weisler and Tim Stonesifer, who post-separation are expected to serve as President and Chief Executive Officer of HP Inc. and Executive Vice President and Chief Financial Officer of Hewlett Packard Enterprise, respectively. Before handing the call over to Meg, let me remind you that this call is being webcast. A replay of the webcast will be made available shortly after the call for approximately 1 year. We posted the earnings release and the slide presentation accompanying today's earnings release on our HP Investor Relations web page at www.hp.com. As always, elements of this presentation are forward-looking and are based on our best view of the world and our businesses as we see them today. For more detailed information, please see the disclaimers on the earnings materials relating to forward-looking statements that involve risks, uncertainties and assumptions. For a discussion of some of these risks, uncertainties and assumptions, please refer to HP's SEC reports, including its most recent Form 10-Q. HP assumes no obligation and does not intend to update any such forward-looking statements. We also note that the financial information discussed on this call reflects estimates based on information available at this time and could differ materially from the amounts ultimately reported in HP's quarterly report on Form 10-Q for the fiscal quarter ended July 31, 2015. Finally, for financial information that has been expressed on a non-GAAP basis, we have included reconciliations to the comparable GAAP information. Please refer to the tables and slide presentation accompanying today's earnings release. I'll now turn the call over to Meg.
Margaret Whitman: Thanks, Kirt, and thanks to all of you for joining us today. With only 2 months left until our separation, I'm pleased with the progress we've made along many fronts. In the third quarter, we once again did what we said we'd do, delivering non-GAAP diluted EPS of $0.88, above our previously provided outlook range. We delivered $856 million in free cash flow, in line with our expectations. And we returned $670 million to shareholders in the form of dividends and share repurchases, all while executing with military precision, one of the largest and most complex separations than had ever been undertaken. By business, we're seeing the benefits of the work we've done over the past several years to strengthen the product strategy and go-to-market execution for the Enterprise Group. Enterprise Group performed very well in Q3, with solid constant currency revenue year-over-year growth across all 3 regions and good momentum in Industry Standard Servers, Storage, Networking and Technology Services support. In Enterprise Services, we're turning the corner in what has been one of the most critical parts of the turnaround. ES significantly improved its sequential revenue trajectory and delivered another quarter of sequential and year-over-year profit improvement. Software performance was mixed with growth in security and IT management SaaS revenue. In Personal Systems and Printing, market declines and competitive pricing pressures have accelerated since May. While Dion and his team are aggressively managing costs and gaining share in key focus areas, we now see a difficult business environment for at least several quarters to come. Turning to the separation. We achieved a number of significant milestones during the past few months. On July 1, we filed the initial Form 10 for Hewlett Packard Enterprise with the SEC. A tremendous amount of work went into the submission, including building 3 years of audited financials for Hewlett Packard Enterprise. Earlier this month, we filed the first amendment to the Form 10, which included the pro forma cash and debt levels for Hewlett Packard Enterprise. Cathie will talk more about the details of the Form 10 in a minute. On August 1, we successfully split the operations and IT systems for the company. This was an incredibly complex process, and the team executed very well. This separation required working directly with more than 3,500 customers and partners to prepare for the cutover. We successfully separated nearly 750 systems, affecting 95% of our business with no issues. After shutting down for just 3 days to transition, critical operational systems across our business segments are now live globally. Customer orders are flowing through manufacturing, and shipments are in transit across our entire supply chain network. This was a huge accomplishment. Finally, just last week, we introduced the expected members of the Board of Directors for both Hewlett Packard Enterprise and HP Inc. We handpicked both boards to create the most experienced global-minded members we could find to help each company win in their unique markets. We're very proud of the diversity of these 2 boards and what it says about the importance we place on having people representative of our customer base participate in our decision-making. Turning to our performance in the quarter. Even with the separation process heating up, we remained focused and continued to execute well across the businesses. However, we did face a challenging macroeconomic and IT spending environment in the third quarter, with soft consumer spending, continued weakness in Russia and China and stock market volatility driving uncertainty. Currency continued to significantly impact our reported revenue. Third quarter revenue of $25.3 billion was down 8% as reported but down only 2% in constant currency. By business, the momentum in Enterprise Group continued. Constant currency revenue growth was strong, both with and without the impact from the first quarter of Aruba Networks' contribution. In Industry Standard Servers, a strong market, combined with our Gen9 portfolio transition, supported 15% revenue growth in constant currency. We've turned the corner in storage with our newer Converged Storage portfolio now representing more than 50% of the mix. We delivered 7% growth in storage overall in constant currency, with incredible 400% growth in all-flash storage, and we expect this will continue to strengthen our share position as a leader in the market. And the significant moves we've made in networking are already beginning to pay off with a 28% year-over-year constant currency growth, driven by strong performance on all regions except China. Even without Aruba, the business grew mid-single digits in constant currency. The Aruba integration is already driving strong cross-selling opportunities. And with our announcement to partner with Tsinghua University, we delivered sequential improvement in networking -- in our networking business performance in China. As you know, Enterprise Services is a long lead time business, and in Q3, we clearly saw the results of the work the team has been doing over the past 3 years. Revenue continued to stabilize, down just 3% in constant currency, the best constant currency revenue performance since Q3 FY '12. Operating profit improved again, up nearly 2 points year-over-year to 6%. The business continued to make progress migrating to strategic Enterprise Services or services for the New Style of IT as evidenced by triple digit year-over-year TCV growth and double-digit growth in revenue. In Software, we remained focused on aligning our portfolio to the Hewlett Packard Enterprise strategy and driving software-led integrated solutions across EG and ES while addressing the challenges around the market shift to SaaS and internal execution challenges. We saw growth in key pockets of SaaS solutions as well as security with great early results from our recent acquisition of Voltage. This was offset by weaker Big Data and IT management. The team remained disciplined around cost control and made progress on streamlining the portfolio with the completion of the divestiture of iManage and by moving the marketing optimization business to PPS at the beginning of Q4. Moving to Personal Systems. As you all know, the market was very soft, down 13% year-over-year in calendar Q2, driving fiscal Q3 revenue down 7% in constant currency. There were a number of factors pressuring the market, which we now expect to continue through Q4 and well into the next fiscal year. The market remained competitive, and currency was a continued headwind. In commercial, we had a tough compare with the Windows XP refresh cycle. And in consumer, we faced slightly higher channel inventory levels as customers paused purchasing decisions in anticipation of the Windows 10 launch. Overall, HP remains well positioned in the market. We gained 1 point of share in calendar Q2 and expect consolidation to continue among the top players in this market. We were fast to market with Windows 10, which resulted in strong initial market share, and the early feedback on this operating system has been positive. Similarly, the overall printing market was very soft, with hardware units down 6% year-over-year in calendar Q2. The key challenge we faced this quarter was an acceleration of hardware average selling price erosion, driven by aggressive pricing by our Japanese competitors. But while our Q3 revenue was down, we are pleased with our share performance with units down just 2%. In laser, we gained over 3 points of share year-over-year, achieving 36.9% of the global market, the highest share in 6 years. We attribute some of the success to the R series launch earlier this year as well as continued momentum in our value multifunction printers, which achieved a new high share of 16.6%. In ink jet, we continue to see strength in office print with strong growth in Officejet Pro X units. And Instant Ink, our innovative ink subscription service, has very strong momentum, with significant sequential growth in enrollees and customer retention rates well above our expectations. The economics on this delivery model provide our customers with a competitive value proposition that can't be beat. Customers pay for only what they print and never run out, making it by far the most convenient, flexible and affordable print option out there. As we've said in the past, we are allocating resources to high-growth opportunities, and in Q3, we continued to roll out exciting innovations and win new customers. At HP Discover Las Vegas in June, we announced a strategy for Hewlett Packard Enterprise, focused on delivering solutions to help customers transform 4 critical areas of their enterprise. These 4 areas comprise helping customers move to a hybrid infrastructure that seamlessly brings together traditional IT in the cloud, protecting the digital enterprise, empowering the data-driven organization and, finally, enabling workplace productivity. Collectively, these 4 areas represent more than $1 trillion in total available market where Hewlett Packard Enterprise is uniquely positioned to win. Aligned with these focus areas, we announced new partnerships and enhancements to our storage, converged data center infrastructure, cloud and software portfolios. For example, we announced the latest HP 3PAR StoreServ Storage family, including a new class of flash services to accelerate IT as a Service consolidation and hybrid IT initiatives. Also, at Discover Las Vegas, over 30 customers and partners showcased their success with HP Helion Cloud, providing a strong testament into how far we've come since launching HP Helion just a year earlier. Caterpillar, Del Monte and GE were among the customers that discussed positive business outcomes with HP Helion on stage. At the event, we also announced HP Helion CloudSystem 9, bringing together our industry-leading private cloud solution with HP Helion OpenStack and the HP Helion Development Platform. CloudSystem 9 provides customers an enterprise-grade open source platform for cloud-native application development and infrastructure. And in July, we acquired Stackato, an enterprise-ready Platform-as-a-Service solution with Cloud Foundry at its core. Stackato gives HP a more complete cloud offering and will enhance the HP Helion Development Platform by enabling customers to bring applications to market faster. Continuing our commitment to enable increased adoption of the emerging network function virtualization or NFV market, last month, we announced a collaboration with NEC to create more open environments for customers, meeting their desire for faster deployment at a lower cost. HP also acquired ConteXtream, which offers solutions that allow service providers to create a more flexible and programmable networks through NFV. ConteXtream's open SDN Controller platform complements HP's NFV expertise and telecommunications and IT experience and is already deployed at a number of major carrier networks across the globe. In Enterprise Services, we introduced a full suite of Windows 10 Services that give HP the most comprehensive portfolio of services available for the Microsoft ecosystem. The Enterprise Services team also signed some significant deals in the quarter, including a major deal with the U.K. Ministry of Defence to serve as prime contractor and system integrator for a secure system that will improve its ability to react to humanitarian and defense crises worldwide. Personal Systems rolled out a new Windows 10 tablet and new ENVY notebooks that combine great battery life in a thinner, curved design. We also announced new 3D scanning capability for Sprout by HP, the world's first immersive computer. This will make Sprout the first fully integrated desktop 3D scanning solution for consumers. So overall, I'm pleased with our progress across many key areas despite a very challenging market backdrop for PCs and print and some of our other businesses. We're executing well, innovating and gaining share in key areas, all while delivering on our separation time line. This is a major accomplishment, and I want to thank all of the HP employees who are making it happen. I also want to thank our customers and partners for their ongoing faith in us. We couldn't be successful without their support. And now I'll turn it over to Cathie.
Catherine Lesjak: Thanks, Meg. Overall, I feel good about our performance in Q3, even amidst market softness in some parts of the portfolio and continued year-over-year headwinds from unfavorable currency. Revenue of $25.3 billion was down 8% year-over-year or 2% in constant currency, with declines in all regions and particular weakness in EMEA. The 6-point gap between as reported and constant currency revenue performance is wider than prior quarters as the financial hedges are rolling off. Our gross margin of 23.8% was down 0.2 points year-over-year and 0.2 points sequentially in line with normal seasonality. Non-GAAP operating expenses were down 10% year-over-year, with reductions in SG&A primarily due to currency, only partially offset by increased investment in R&D. Non-GAAP operating profit of 8.6% was up 0.1 point year-over-year and flat sequentially. We delivered non-GAAP diluted net earnings per share of $0.88, above the high end of our outlook range. About $0.02 was a result of incremental channel business we would have otherwise expected to do in Q4 as we derisked our IT separation cutover by making sure the channel had what it needed when our systems were down in early August. Our non-GAAP EPS primarily excludes pretax charges of $401 million for separation, $242 million for amortization of intangible assets and additional noncash charges of $136 million for an Enterprise Services data center impairment and $114 million for a onetime pension adjustment. GAAP diluted net earnings per share of $0.47 was below our previously provided outlook range of $0.50 to $0.54, primarily due to the ES data center impairment, which was not considered in our outlook. We are nearing the end of our 2012 restructuring program, and 3,900 people exited in Q3. By the end of Q4, we expect to exceed our prior estimate of 55,000 people to exit the company by up to 5%, but we'll not exceed the forecasted GAAP-only charges. Turning to the results by business. Personal Systems revenue declined 13% year-over-year or 7% in constant currency, with an 11% decline in units. However, we grew our worldwide market share to 18.9% as the market continued to consolidate. Currency remained a significant headwind for this business, although we managed to offset about half of the ASP impact with price adjustments, mix and the strength in option attach. Profitability declined 1 point year-over-year to 3%, driven primarily by unfavorable currency net of repricing, partially offset by the strength of the commercial business, commodity cost savings and other operational improvements. Sequentially, the favorable commercial mix offset the net currency headwind, leaving margins flat. In a tough market, our performance in commercial was solid. Commercial revenue declined 9% year-over-year or down just 2% in constant currency. However, we gained 1 point of share, achieving 22.7% market share and maintained our #1 position worldwide. We saw pockets of strength with growth in commercial notebooks, mobile workstations, commercial services and retail solution. Consumer performance was weaker, with Q3 revenue down 22% year-over-year or down 17% in constant currency. The overall market was highly competitive. However, our overall consumer market share was roughly flat with share gains in key areas, including the premium consumer segment. Looking forward, while we see continued market headwinds for several quarters to come, we also see opportunity in the market long term with our strength in commercial and Windows 10 as a catalyst for demand especially in consumer. In Print, revenue declined 9% year-over-year or 7% in constant currency. As in prior quarters, the currency impact is somewhat smaller for printing due to the hedges we had in place for this business but has widened about 1 point sequentially as the hedges are rolling off. While the market was tough overall, we performed better than the market in our areas of focus. We gained 3 points of share in laser hardware overall, achieving our highest ever share in value multifunction printers. While we lost a fraction of a point of share in inkjet, we grew SMB hardware units double digits year-over-year and continued to see very positive momentum in our Instant Ink program. And graphics continue to be a bright spot of profitable growth, with Indigo achieving 57% market share. We maintained good profitability in Q3 with an operating margin of 17.8%, down 0.6 points from the prior year. Gross margins were pressured by a highly competitive pricing environment, only partially offset by favorable supplies mix of 67.6%. Also, OpEx was down year-over-year, helped by the Snapfish sale. Channel inventory for hardware and supplies was above our desired ranges due to expected business continuity planning around the separation as well as softer-than-expected market demand. We expect to reduce channel inventory levels in Q4. Looking forward, we expect printing headwinds to also continue longer term, particularly the competitive pricing on hardware, but we will continue to focus on stabilizing supplies revenue through strategic placement of high-value hardware units with greater supplies attach. We also plan to increase sales focus on alternative consumption models particularly for consumers. For example, as Meg described earlier, Instant Ink delivers a superior experience at better value for our customers with economics that make sense for HP. With Instant Ink planned to be available on all WiFi-enabled inkjet printers this fall we expect this service to continue to gain traction and drive improved consumer sales overall. Turning to the Enterprise Group. Revenue grew 2% year-over-year and 9% in constant currency with strength in ISS, storage and networking. Profitability remains solid at 13%, down 1 point year-over-year, primarily due to the strength of Industry Standard Servers and currency. Industry Standard Servers revenue grew 8% year-over-year or 15% in constant currency with strong sales execution and continued product innovation. Margins were somewhat pressured as good option attach was offset by currency and the strength in density optimized servers. Going forward, we are well positioned to finish the year strong, given backlog levels and the continued market momentum. Business Critical Systems revenue declined 21% year-over-year or 15% in constant currency. We continue to develop our mission-critical portfolio to address customers' most critical workloads and are seeing positive momentum with new x86 platforms like Superdome X and NonStop X. Storage had a strong quarter with revenue down 2% or up 7% in constant currency. 18% year-over-year constant currency growth drove Converged Storage past the inflection point, and it now makes up more than 50% of the storage portfolio. 3PAR plus XP plus EVA grew 13% in constant currency. All-flash 3PAR revenue continued to drive the mid-range and led growth in the converged portfolio. Overall, we gained share again in the external disk drive market and expect storage to be a growth driver in constant currency in Q4. Networking also had a good quarter. Revenue grew 22% year-over-year or 28% in constant currency. When adjusted for Aruba, networking reported revenue was down slightly year-over-year but up mid-single digits in constant currency. Our focus on execution is showing up in improved performance across all regions. And the integration of Aruba is driving pipeline growth through cross-selling across campus wireless solutions, which we expect to continue to drive sales for a strong Q4. Technology Services declined 9% year-over-year or 3% in constant currency, although support orders were up year-over-year in constant currency again this quarter and profitability remained good. We are seeing continued adoption of our new portfolio, including Datacenter Care and Proactive Care, and expect TS to continue to stabilize with improving hardware sales. Enterprise Services continued to improve their performance this quarter. Revenue showed progress, declining 11% year-over-year but only 3% in constant currency. We continued to transform our account base in our portfolio. As a result, excluding the top 3 key account runoff, revenue grew year-over-year in constant currency, and strategic Enterprise Services revenue grew double digits. Signings were strong in this quarter with overall year-over-year growth, driven by strength in both SCS and new logos, with win rates for each up double digits year-over-year. Profitability also improved, with Q3 operating profit reaching 6%, up 1.9 points year-over-year. The team continued to execute productivity improvements in excess of key account runoff and contractual pricing concessions. Looking forward, with the progress we've made on cost improvements as well as normal quarterly seasonality, we are confident in our full year operating profit outlook of 4% to 6%. As mentioned on the Q2 earnings call, we see further opportunities to take costs out of this business and are working on the detailed plans which we intend to share at our Security Analyst Meeting on September 15. On revenue for fiscal '15, this quarter was a good proof point in our ability to exit the year down 4% to 6% in constant currency. Software revenue declined 6% year-over-year or 1% in constant currency as growth in security was offset by declines in IT management and Big Data. The team continued to focus on disciplined cost controls, reducing operating expenses year-over-year and quarter-over-quarter. However, top line currency pressure drove an operating profit margin of 20.6%, down 0.6 points year-over-year. Overall, in Q4, we expect continued pressure on the top line as we evolve our product portfolio and go-to-market efforts towards SaaS and subscription-based offerings. HP Financial Services revenue declined 6% year-over-year as reported but grew 3% in constant currency. Financing volume was down 2% nominally but up 7% year-over-year in constant currency. And return on equity was 15.3%. HP Financial Services continues to be a key differentiator for HP and central to our strategy, providing our customers with the flexible pricing models they need to move to the New Style of IT. Turning to cash flow. Cash flow from operations was $1.67 billion, down 54% year-over-year, primarily due to strong working capital improvement in the prior year period. Free cash flow was $856 million, in line with our expectations. In Q4, we expect larger cash outflows associated with the separation, primarily due to incremental taxes. However, we also expect other assets and liabilities to be a significant source of cash. Therefore, we are holding our free cash flow outlook for the year at $3.5 billion to $4 billion. Our Q3 cash conversion cycle was 4 days, flat sequentially. This was broadly in line with normal sequential seasonality, except for day sales outstanding, which were impacted by unfavorable sales linearity. The year-over-year reduction was driven by a 7-day improvement in DPO, a day better than DSO, partially offset by a 4-day increase in DOI. As discussed, inventory was elevated late in the quarter due to business continuity planning associated with the internal systems separation date of August 1. During the quarter, we repurchased $352 million of shares and paid $318 million in dividends for a total capital return to shareholders of $670 million. We will return significantly more than 50% of our free cash flow to shareholders this year, even with the adjustment in Q1 for the shortfall last year. Turning to the separation. As Meg discussed, we hit a number of key milestones and remain on track to officially separate on November 1. Q3 charges associated with the separation were $401 million. The total multiyear separation cash expenses are expected to be in line with the original forecast we provided on the Q1 earnings call. On August 10, we filed our first amendment to the Form 10. The most significant new disclosure in the filing was the Hewlett Packard Enterprise capital structure. As stated at the separation announcement, our goal was to split the debt and cash balances such that each company will achieve an investment grade rating. And based on the announcements made by the credit rating agencies to date, we are pleased that this is the outcome. As part of the usual process for the Form 10, you can expect additional amendments to be filed until Form 10 is declared effective close to the separation date. And as a reminder, we will be holding our Security Analyst Meeting on September 15 to share more details about each company, including the FY '16 financial outlook. Turning to our outlook. For fiscal '15, our non-GAAP diluted net earnings per share outlook is $3.59 to $3.65. GAAP outlook for the full year is $1.87 to $1.93. This excludes a likely onetime noncash benefit in Q4 from certain changes to our legal structure that we expect to complete in connection with the separation. As we separate entities, we are evaluating existing and previously reserved against deferred tax assets. The details of these changes are being finalized, but they may result in an increase to deferred tax assets of approximately $1 billion to $1.6 billion. With that, let's open it up for questions.
Operator: [Operator Instructions] The first question is from Maynard Um at Wells Fargo.
Maynard Um: On your free cash flow guidance, can you just talk about where the big areas of cash inflow will be? Because you'll need to generate about $2 billion to $2.5 billion to reach your full year target. And then looking into fiscal '16, would it be fair to say that the cash conversion cycle improvements over the last couple of years has largely come from the PC side of the house? And I'm asking that because if you look at Hewlett Packard Enterprise's balance sheet metrics from the Form 10, it would seem you have room for some meaningful improvements when compared to some of your competitors, for example, in your DSO, and I'm just wondering if you've begun the process of identifying those opportunities on the HPE side to improve your cash flow.
Catherine Lesjak: Thanks. So let me address the last question first and tell you that the improvement in the cash conversion cycle over the last couple of years has been broad-based. It has not just been the PC group. There have been improvements in PCs, there's been improvement in IPG and there's been improvement in EG. And so I don't think it's really skewed one direction. In terms of your question around the cash flow in Q4, let's start with the fact that in Q3, the free cash flow of $856 million was in line with our expectations. And so we believe we're on track to do the $3.5 billion to $4 billion in free cash flow for the year. Q4 is typically, as I'm sure you're aware, seasonally our stronger quarter from an earnings perspective and a cash flow perspective, but we do have some inflows and outflows that maybe are a little less typical. First, we've got the increase in separation costs, which are really driven by the incremental taxes that we need to pay as we're separating legal entities around the world. And then if you look at -- in my prepared remarks, I talked about business continuity planning, and it had really 2 impacts. One, it -- we basically put more into the channel, so our channel inventory levels are a bit higher. But that was done late in the quarter, so that drove DSO to be a bit higher because of the unfavorable sales linearity. That, of course, will turn around a bit. We also put -- had more inventory as a result of derisking the IT cutover, and that was largely offset by DPO. So you can look at that as kind of a wash. But we would expect that the accounts receivable now would get collected earlier in Q4 and, therefore, would be a nice tailwind for us. And then finally, probably the biggest impact, is really in other assets and other liabilities. As we talked about at the end of I think Q1 and Q2, we had a very significant use of cash in other assets and other liabilities. And we talked about the fact that over the course of the year, a significant portion of that would reverse, that it was really timing. We saw a little bit of that in Q3, and we expect a pretty significant source of cash from other assets and other liabilities in Q4 that then supports our outlook of free cash flow of $3.5 billion to $4 billion for the year in total.
Operator: The next question is from Toni Sacconaghi at Bernstein.
Toni Sacconaghi: Your Q4 guidance for EPS is lower. So you beat on your -- relative to your Q3 guidance on EPS, and yet you lowered to the low end of your full year range for the full year, implying a much weaker Q4 than consensus had been expecting and certainly the mid-range of your guidance had been pointing to. Can you comment on what's driving that? And is part of it elevated inventory levels, which you talked about on the last earnings call and reiterated again this call? Or what is it that is causing this relatively material shortfall relative to your expectations for Q4? And I have a follow-up, please.
Catherine Lesjak: Sure, Toni. So our Q4 outlook for EPS is $0.92 to $0.98, and it is below what you would consider normal seasonality. If you adjust for the $0.02 that we shipped in Q3 that we otherwise would have shipped in Q4, it's more in line. But to your point, the outlook definitely reflects the change in inventory levels. We are going to bring channel inventory levels back down. It reflects the currency headwinds that we're getting both because of hedges that are coming off and just the currency headwind -- the indirect currency headwind of a very competitive pricing environment in IPG as our Japanese competitors take their -- the weak yen against both the euro and the dollar and really price aggressively. And then it also takes into consideration the softness that we're seeing in the PC market. And in terms of the year, just to make sure everyone's clear on this, we did narrow our range to $3.59 to $3.65, just because, of course, we just have 1 quarter left in the year.
Toni Sacconaghi: And then, Cathie, I'm wondering if you could talk a little bit about operating margins in the Enterprise Group. I know you talked about it sort of being reflective of mix towards Industry Standard Servers, but it's the lowest operating margin in 5.5 years. You had a pretty big sequential volume improvement in the quarter, and it wasn't all ISS. And so -- and currency didn't change that much sequentially either. So I feel like there's something more there that's pressuring margins in that business, and I was hoping you can comment on that, please.
Catherine Lesjak: Sure, Tony. I think I'm going to throw that one to Tim Stonesifer to address.
Tim Stonesifer: Sure. So overall, we thought that EG performance was -- I'm not on? Sorry. So overall, we thought EG performance for the third quarter was pretty good, too. On the revenue front, to Cathie's earlier comments, revenue was up 15% on local currency in ISS. We were up 7% in storage on a local currency. Meg alluded to the progress on 3PAR and all-flash. And networking, excluding Aruba, was up low single digits as well. So from a revenue perspective, we felt very good about that. To your point, there was some margin pressure. And when you look at it year-over-year, the increased volumes in ISS definitely put some pressure on the margin front, given that the margins in ISS are lower than storage and networking. And that was primarily driven by Tier 1. And then foreign exchange obviously played an impact in that. When you look at it quarter-over-quarter, OpEx was up a little bit quarter-over-quarter as we continue to invest in R&D and our sales motion. And then on the ISS front, there are some increased pricing pressure particularly in China. So that's what drove the delta there.
Operator: The next question is from Sherri Scribner at Deutsche Bank.
Sherri Scribner: So I was hoping you could give us a little more detail on what you're seeing on the storage side. You saw really strong strength in the flash business. And Meg, I think you mentioned that Converged is now 50% of Storage. What type of growth are you expecting in that business now that Converged is bigger? And why do you think you guys are doing so well in the flash side?
Margaret Whitman: So I think what you're seeing is a lot of the hard work that's been done over a number of years. These businesses are longer lead time businesses, so whether it's all-flash storage array product, the go-to-market motion that we began to hone 3 or 4 years ago. And then, frankly, Manish Goel, who is the new Head of our Storage business, has done a fantastic job. And as I said, you called it out really well, we've turned the corner with the, faster-growing Converged. 3PAR is fulfilling the promise that we've all known 3PAR's had for many, many years. And the all-flash arrays are seeing incredible growth and driving the mid-range 3PAR Converged portfolio with about 30% of the mix. So listen, we're feeling good about this business. We've got good momentum, and I think you're going to see continued strength here over the next few quarters.
Catherine Lesjak: So I would add that if you look at Converged Storage, it grew 18% on a constant currency basis year-over-year. With that now being bigger than more than 50% of the portfolio, you should see pretty significant opportunity for growth.
Margaret Whitman: I mean, I think you've all heard us talk about that we have businesses where the declining businesses have been bigger than the growing businesses. We're now rounding the corner where the growing businesses are bigger than the declining businesses, which is actually going to lead to growth. And boy, that has taken a while to get here, but we're here. And I think that sets Hewlett Packard Enterprise up pretty well as we think about growth going forward.
Catherine Lesjak: And actually, I think there's another data point that I probably should give out, and that's the one in my prepared remarks. I talked about 3PAR plus EVA plus XP, because in large cases, 3PAR is, in fact, cannibalizing EVA and, in some instances, XP, and that grew 13% in local currency. So there's a lot of great data points here that storage should be a growth engine going forward for the company.
Sherri Scribner: Okay, great. And then, Cathie, I just wanted a little more detail on the hedges. You mentioned them rolling off. How should we think about hedges going forward?
Catherine Lesjak: So I think the best way to think about the hedges is that for the most of our businesses, the hedges are largely already run off. And so we're putting new hedges on at basically today's exchange rate. But in the case of IPG, we hedged a little bit longer from a supplies [ph] perspective. And that's why you see a much narrower range between as reported and constant currency in IPG. And if you looked at it at the supplies level, there's almost no gap between the two. And we've had -- those hedges are running off. And I guess I take -- if you go back and you look at the 10-Q for Q2, you will see in the currency section the fact that our cash flow hedges running off have been driving about over $800 million of profit in the first half of the year. Those are the hedges that were in the first half. We've still got some that have come off in Q3 and a few more that come off in Q4. By the end of the year, we should largely be at kind of today's currency rates with our hedges.
Operator: The next question is from Katy Huberty at Morgan Stanley.
Kathryn Huberty: As we look forward beyond separation, tax, CapEx costs related to the separation and think about more sustainable cash flow, how should we think about restructuring costs specifically? If you look past 7 years, you've had $1 billion, give or take, just about every year of outflows from restructuring. Is there any discussion or stated goal internally to get back to a point that restructuring is not such a headwind?
Catherine Lesjak: Yes, there is a goal to reduce restructuring on a go-forward basis, and we're going to talk a lot more about this at the Security Analyst Meeting. But the view is that the restructuring that we have talked about is potential, where we will provide more details. But that will be, at least for the Enterprise Services business, the last restructuring that we do. We are setting that business up so that it has sustainable 7% to 9% operating margin, but it also then, in its ordinary course of business, can fund the refinement that it needs to do with its workforce. So in essence, the restructuring charges that are at the corporate level, that are fundamentally restructuring the cost base by getting the labor pyramid right and the offshore mix correct, will be done. And that then it's the fine-tuning of what's going on in the course of the year, the contracts that win, the contracts that we don't win kind of get factored in, and that will be funded within the P&L, the non-GAAP P&L of ES.
Kathryn Huberty: And that's also true outside of Enterprise Services?
Margaret Whitman: Yes. I mean, I think from a restructuring perspective, Katy, it's Meg -- Cathie described is we recognize that Enterprise Services has to fund, over time, its -- the fine-tuning, as Cathie said, of its workforce. And we are -- we're going to show you that walk as we get to Security Analyst Meeting. This will be the last restructuring for Enterprise Services. And then as we said, we've got to offset some of the dis-synergies, and there may be a smaller restructuring associated with that. But we are working the final details. As we see the momentum of the business, as we see where we're growing, where we need to move our labor structure around, we're going to give you a lot of detail on that because we know it's been a concern, and frankly, it's been a concern to us. And so this will be the last of the restructuring Mohicans this year.
Kathryn Huberty: Okay. And then just as a follow-up, you sound much more constructive on the enterprise server market over the next couple of quarters relative to some of your partners and suppliers that have reported. Can you just talk about where that confidence comes from?
Margaret Whitman: I think it comes from a couple of places. One is our innovation engine is as strong as it has ever been in servers. Gen9 is definitely a winner. Our HP Apollo high-performance compute line is fantastic. We're back in the game and even some of the more basic rack and tower. And then, of course, our cloud line offering, density optimized servers for Tier 1, Tier 2 service providers with Foxconn, is totally the right thing to do, and we make money in that business. So I think we've got the right innovation engine. We've also refined our go-to-market over a longer period of time. And part of the challenge we had prior to me was the fact that we changed our go-to-market so many times. Every CEO had a different idea about how to go to market. We've just locked on one and we're driving it. There might be things we can do to optimize it, but we've got a strategy and we're driving it. And I think that's given the sales force and customers a lot of confidence. And we've all been out with a lot of customers. The first couple of years was sort of more internally focused. We've been out with customers. I would say our customer and partner confidence is at an all-time high. So -- and the backlog, by the way, going into fourth quarter is the highest backlog I've had since I've been at the company. So all signs are good, but we remain on constant alert. This market changes at the drop of a hat. You have a currency shock, you have some other problem and it can dissipate. But we're feeling really very good about the server business and, frankly, EG overall. Even in TS, you saw that orders are positive in a constant currency basis, and that's been that way for a couple of quarters. So we feel really good about that. And as the hardware business grows, there's more to attach to, which gives us that profit associated with TS.
Operator: Next question is from Kulbinder Garcha at CrÃ©dit Suisse.
Kulbinder Garcha: My first question is for Cathie on free cash flow. Just in the fourth quarter, the movement of assets and liabilities, can you be more specific in terms of what's generating so much cash and what's reversing over the course of the year? That's my first question. The second one is on free cash flow as well actually is that this year, there's a number of items are kind of nonrecurring, some of them have been and some of them haven't, in terms of what's depressing free cash flow, whether it's the restructurings in the fiscal year '12 on the separation costs, the separation CapEx, foreign taxes, plus there may be some impact from the 2 new restructuring programs you discussed last quarter. I put that number somewhere between $3 billion and $4 billion depressing this year's free cash flow. What I'm curious about is how quickly does that drop in coming years. And if you're not going to answer that now, which I imagine you're not, is that the kind of information we will get at the Security Analyst Meeting?
Catherine Lesjak: So I'll take the last question first. Yes, that will be more information that we'll provide at the Security Analyst Meeting for each company in terms of what the free cash flow should look like for '16, and then you'll see some of the nonrecurring items kind of in that bridge. In terms of the other assets and other liabilities, Kulbinder, it isn't any one thing that turns around. It's that the number of items that have -- are just kind of ordinary course of business have been a headwind and that -- I mean, an example is that the accounts -- the vendor receivables. At the end of Q3, our vendor rebate receivables was high. We knew that, that would turn around. That's ordinary course of business that it would turn around because we collect those receivables. And it's those kinds of items across a number of different line items that are turning around just in ordinary course in Q4 in other assets and other liabilities. And as I said, we did see some of that in Q3 as well.
Kulbinder Garcha: Great. Just one more thing, if I may, just on the Printing side. The revenues are weaker, but the margins held in quite well. They haven't quite come down in the manner that you've been implying all year long. Can you speak about what's supporting them?
Catherine Lesjak: Can you repeat the question one more time? We sort of -- you were a little muffled at the beginning. I think the operator might have been trying to cut you off. Can you start at the top on that question?
Kulbinder Garcha: Yes. Sorry. My question was on the Printing. The Printing revenues were a bit weaker than we expected. I understand that pressure may last for some time. But my -- the actual margin, the percentage margin is holding in quite well. Are you able to sustain that level of constant currency declines and keep the margin higher level in the 17% to 18% range? Or do you still expect that to come down at some point?
Catherine Lesjak: So let me help you understand the year-over-year change in operating margins for Printing. As we talked about, the #1 headwind that helped drive the decline year-over-year was really the competitive pricing environment. And this is a situation where while we get benefit from the weakness in the yen, we get that benefit on our cost structure on a piece of our Printing business. Our Japanese competitors get the weakness of the yen and that kind of war chest across their entire print portfolio. So competitive pricing has really driven basically ASP declines, very material ASP declines both on a year-over-year basis and sequentially. So that has increased in aggressiveness. That's partially offset this quarter in the fact that the supplies mix is at roughly 68%, up 2 points on a year-over-year basis. We had good strength. We've had growth in graphics, then we had good profitability in graphics. We also had a favorable mix impact because we have less home units in the ink space. And then like I said, we have the yen weakness as well. What's really important in this business, when you think about margins over the long term, is we've got to have the right cost structure, and then we have continue to place profitable units because that's what's going to drive the long-term success of -- and health of this business. And I don't know, Dion, if you would add anything else there.
Dion Weisler: Yes. I think -- there's obviously a few initiatives that we remain extremely focused on. And one is accelerating our new and innovative business model around Instant Ink, and that, to remind everybody, is a subscription-based model. And it has a terrific value proposition for customer, has up to sort of 50% savings and the convenience of never running out of ink. And it's a terrific value proposition. And that is beginning to take hold as we ramp and accelerate the number of subscriptions that we build. The second is our focus on SMB and, in particular, the higher end of SMB with Officejet Pro X, which, of course, has terrific supplies attach associated with it. And that leverages off our very unique PageWide Array Technology. And the third is, as you remember, about a little over 4 months ago, we released our jet intelligence or what we internally call our R series LaserJet products, and that's been 8 years in the making of a new platform, which has a higher aftermarket supplies attach. And so we continue to remain really focused around those initiatives as well as the general initiative of shifting from transactional motions to contractual motions with managed print services, which adds significant value to our customers.
Catherine Lesjak: And one of the things I would just add on that Instant Ink, it has a great value proposition for our customers, as Dion talked about. It also has attractive economics for Hewlett-Packard, and I think that, that's also very important to understand.
Operator: Next question is from Shannon Cross at Cross Research.
Shannon Cross: Dion, I had a question for you on the PC side. Can you talk a bit about how you're thinking about balancing profitability versus market share and placement of units and how we should think about that given the weak end demand?
Dion Weisler: Yes, look, I guess my strategy there has not changed since we were talking at SAM several years ago. We're not chasing share for share's sake, and we're very selective about what are valuable units, what we can attach around. And in a very challenging PC market, that is absolutely the right thing to do. There is some fairly significant headwinds. And so when I break that down, Shannon, and I think about sort of consumer and commercial, there's some parts of the consumer market that are not terribly interesting, empty calorie business. And we're not terribly interested in placing units there. But we've been doing pretty well in the premium segment, where we've been taking share in the higher priced bands. And we segment the market and heat map the market fairly significantly. We did anticipate a challenging operating system transition to Windows 10 on 2 dimensions: One was a free upgrade that was, of course, offered. And the second was the very short transition time, which is normally about 3 months, which is compressed to under 1 month. And what that drove was fairly high Windows 8 channel inventory levels, and that will take a little bit of time to flush. I guess the good news is that the Windows 10 feedback is pretty good, and a great operating system is important for the ecosystem and the industry. So once Window 8 flushes, which may take a little time here in the industry, we should see some stimulation from Windows 10. Commercial, of course, is a little simpler to understand. The compares are tough. This was the peak last year of the Windows XP transition. But that drives higher profitable units for us, and we are clearly focused on that.
Margaret Whitman: I'd clarify that it's not our Windows 8 inventory that has to flush through. We're running nice inventories at Windows 8. So...
Dion Weisler: Yes. Look, I think in general, that's an industry statement. If you were to look across by old reports, Windows 8 channel inventory levels are high, and they are on the higher side for us well. But we're, as an industry, looking at having to flush through 8 before 10 really takes hold.
Catherine Lesjak: And before we move on, the bright spot that Dion mentioned around the consumer -- the premium consumer segment, this calendar Q2, we gained 4 points of share with our Spectre x360. So that is -- that's been a long time coming in and a really nice result to continue to have a great product set in that space.
Shannon Cross: Great. And then just a question on China. Can you talk a bit about what you're seeing in terms of end demand and competitive pressures, not just in PCs but across the portfolio?
Margaret Whitman: Yes, I'll start first and then turn it over to Dion. So China remains a very big and important market for us, but it is very competitive. And -- but I will say, our joint venture with Tsinghua is actually standing us in very good stead. We had an excellent quarter in servers in China, quite a good quarter in storage and a sequential improvement in networking in China. And so listen, it's a very competitive market by local competitors, by international competitors, but we're convinced that our strategy around the JV with Tsinghua is the right thing to do. And we're already seeing some benefits on just the basis of the announcement.
Dion Weisler: And I'd say for Printing and Personal Systems, Personal Systems particularly the consumer segment, is pretty soft. The commercial segment, whilst it's not overwhelming, is not as contracted as what the consumer market is. The printing market is -- has been softer than traditionally it's been, so we continue to watch the market with interest. We're very interested in the work that Meg and the team have done with Tsinghua University. We think that is a pretty interesting model.
Operator: Our final question comes from Aaron Rakers at Stifel.
Aaron Rakers: The first question I wanted to ask is going back to the enterprise business. Just curious, as we think about the separate entities, how the company thinks about the Technology Services piece, particularly as it relates to the fact that you've talked about positive growth on the order side. We've seen some positive trends on the hardware side. However, the reported growth on a year-over-year basis continues to decelerate. So when do you expect that actually to start to turn positive? And how are we thinking about the margin profile of that piece of the portfolio?
Margaret Whitman: So let me tell you, so Technology Services is the crown jewel of enterprise growth. This is one great business, but there is a lag to this. And part of what you're seeing in as reported revenues is the currency issue. But frankly, as you saw our Enterprise Group revenues decline in '12, '13 and '14, that has a knock-on effect with Technology Services attach. The other problem is there was very high technology services attach to our Business Critical Systems, Itanium for one. So we are recovering from that. What I have to say is the team, led by Antonio Neri when he ran Technology Services, is he has done a remarkable job in creating products, like Proactive Care, Datacenter Care, that are actually filling the vacuum that was left by Itanium and a downward decline in Enterprise Group hardware revenues. So you're now, pretty soon, just like in storage, you're going to see a shift now to actually as reported growth in Technology Services because the new products are kicking in, the attach rate is at very good levels and now we have hardware growing again. So we feel pretty good about the underlying financial architecture associated with Enterprise Group. And Technology Services has not only great financial characteristics, virtually, every customer needs to attach technology services, so they have that ability to service their hardware in their data center real time with the biggest footprint of services individuals around the world.
Aaron Rakers: And then as a follow-up and a follow-up to a prior question, as HP looks forward, how is HP looking at the PC overall industry in terms of growth rate or, for that matter, declines over the next couple of quarters? What is the assumption for the industry?
Dion Weisler: Look, broadly speaking, our view is not dissimilar to the industry analysts. We think it will be challenging for the next several quarters. We're generally aligned with the industry on that. We see it being down high single digits versus only sort of negative 2 last year, driven by the XP refresh. We see notebooks being stronger than desktops. We see opportunity in commercial mobility, in accessories, in services. And the market to me at the moment reminds me a little bit of the market in 2013. And it really requires a highly disciplined approach to market segmentation, cost optimization, leveraging the 160,000 channel partners that we have around the globe that do an amazing job of adding value to our customer set and continuing to drive our innovation agenda. We remain disciplined about not chasing share for share's sake, playing where we choose to play and winning in those segments. And we are in a consolidating market. And inside that consolidating market, we are growing faster than the market. And if we do that in a very disciplined way, we still see opportunity in the longer term for the Personal Systems business.
Margaret Whitman: But I think you've said, Dion, that the next couple of quarters are probably going to be simply tough.
Dion Weisler: Indeed, indeed.
Margaret Whitman: I mean, the next several quarters, we think, are going to be pretty tough.
Dion Weisler: It's pretty challenging right there, right now, as I mentioned earlier.
Kirt Karros: Thanks, Aaron, and thank you, everybody, for joining today's call.
Operator: Ladies and gentlemen, this concludes our call for today. Thank you.